Operator: Good morning. My name is Juan (ph) and I will be your conference operator today. At this time, I would like to welcome everyone to the America Movil Fourth Quarter 2021 Conference Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Now, I will turn the call to Ms. Daniela Lecuona, Head of Investor Relations. Please. Ms. Daniela, go ahead.
Daniela Lecuona: Thank you. Good morning, everyone. Thanks for joining us today to discuss our Fourth Quarter operating and financial results. We have on the line, Mr. Daniel Hajj, CEO, Mr. Carlos Garcia Moreno, CFO, and Mr. Oscar Von Hauske, COO.
Daniel Hajj: Thank you, Daniela. Good morning, everyone. Carlos is going to make a summary of the fourth quarter results.
Carlos García Moreno: Thank you, Daniela. Good morning, everyone. Throughout the fourth quarter, consent about the rising in patient rates across the board kept financial markets alert about policy of the patients with 10-year crusher yields moving around a relatively wide band driven 5 basis points. But ending the quarter very much where they had started, at about 1.5%. Not withstanding the volatility in interest rates, equity markets continued to advance with the S&P 500 delivering 10% increase in the quarter.  And in our region of operation in Mexican peso, the Colombian peso on the Chilean peso, all experienced bouts of volatility in second couple of November with the former recovering fully by the end of the year and the other one depreciating further. In the fourth quarter, we added 4.8 million wireless subscribers, including 2.2 million off-spec clients and 2.5 million prepaid drops. Brazil contributed approximately half of our postpaid Avishai, followed by Colombia with 357,000 and Austria and Peru with close to 200,000 each.  I think it prior quarter, Mexico provided most of the new prepaid clients, 1.2 million with Colombia contributing 349,000 clients and Central American Argentina, approximately 300,000 each. Fourth quarter revenue, total 227 billion pesos, 7.7% year-and-year increase. [Indiscernible] revenue expanding 5.4% to our billion pesos. The consolidated figures mentioned above on both that will be referenced later. Exclude platform, I think has been deemed to be at discontinued operations.  They also exclude the Argentina as we have done for several quarters during the happy inflation of therapeutic country. At constant exchange rates, service revenue growth came in at 4.4%. A very similar weight to the 4.61% posted the prior quarter. In Mexican peso appreciated versus most currencies in our regional operation on an annual basis and depreciated slightly, once again, versus the U.S. dollar.  Dependent growth of more activity revenue state roughly constant in the quarter at 6.9%, while that of fixed line service revenues declined relative to that will be by a quarter to a 0.5%. On the mobile platform, off-spec drilling expanded 5.9% practically at the same pace as in the previous quarter. While prepaid revenue growth [Indiscernible] to 8.7%, several operation including Peru, Puerto Rico, [Indiscernible] Dominican Republic, Mexico, and Brazil experienced brief mobile service revenue growth between 8% and 12%.  We'd [Indiscernible] posting a 10% increase. On the fixed line platform, revenue growth from corporate networks accelerated to 6.8%. And that's on both on services slowdown to 4%. Both continued with trends followed throughout the year. Greenland bullets revenue growth, continue to decline although at a slower pace, than previously, whereas pay-tv revenue kept on declining roughly at the same reason as we had in prior quarters.  Our Eastern European operations and capital of 75% revenue growth in fixed line services with 13% and 11% respectively. They were followed by Colombia and The Dominican Republic, with 10% percent of physical service. The decline in Puerto Rico revenue was due to its suspension of funding provided by department [Indiscernible] with the pandemic. Within fixed line services, program revenue climbed 19% and 17% in Dominican Republic and Peru. [Indiscernible], Puerto Rico, Eastern Europe and Central American all posting revenue growth between 6% and 9%.  EBITDA, dreaming up ₱89.8 billion pesos. Figure reflects one of items during the impact of the sale of towers by [Indiscernible]. Our adjusted EBITDA was up 7.7% year-on-year, slightly more than 7.2% increase of sales we prepared for. In Dominican Republic, Central America, and Europe, exhibit the fastest space of EBITDA growth a 12.4%, 11% and 9.7% respectively. With Mexico and Colombia posting 8% growth rate and Nicaragua 7.2%.  Practically, all of the operations show increases in the margin. Our adjusted operating profit reached 41 billion pesos and was of 20% in Mexican peso terms and 15% constant exchange rate. It can generate up to the accounting for 19 billion pesos income peso-financing costs, a net profit from continuing operations of 23 billion. The net profit of [Indiscernible] to both the operational platform [Indiscernible] November.  And the [Indiscernible] itself is booked on the relying item of net income from discontinued operations, totaled 115 billion pesos. Together with net income of are we continuing operations, it resulted in a net profit of 196 billion pesos in the fourth quarter. For the full year 2021, our net income stood at a 196 billion pesos. And among, more important larger than the one every prior-year. 2021 our operating cash flow and the proceeds from the fitness platform.  Metro Mexican taxes paid in December allowed us to fund a ₱170 million pesos of capital [Indiscernible], ₱62 billion pesos in net shareholder distributions, and to reduce our net debt by a [Indiscernible] pesos [Indiscernible] Excluding leases, our net debt into the year was 400 [Indiscernible] pesos. [Indiscernible] billion pesos reduction from [Indiscernible] outstanding at the end of 2020.  [Indiscernible] was equivalent to [Indiscernible] EBITDA after leases at the growth of '21 EBITDA. In our net debt calculation, we're configuring as cash equivalent on the security available for [Indiscernible] Stock received from [Indiscernible] as part of the pavement for platforms at the end of the year, the value of the [Indiscernible] stock was 62 million pesos. Also booked on the [Indiscernible] item if the KPN stock we own valued at $56 billion, so we pick somebody would like to pass the floor back to -- for Q and A.
Daniel Hajj: Thank you, Carlos. We can start the Q and A.
Operator: [Operator Instructions] On your first question comes from Leonardo Olmos, from UBS, please. Leonardo, your line is now open.
Leonardo Olmos: Hello, everyone. Good morning, good afternoon. My first question is related to 5G CapEx specifically about the expect to auction then you're already booking in 2021, as far as the understood. Can you disclose a bit the breakdown between the expected auctions schedule both in 2021 and please confirm if the total amounts was $1.1 billion. Thank you.
Daniel Hajj: Yes. Good morning. On the CapEx of 2021 on the spectrum CapEx, I don't remember exactly, but it was around $800 million in Brazil and then some more in Mexico, a little bit more on Peru. But yes, it's around $1.1 billion on net spectrum that we have in 2021, mostly was on Brazil, $800 million.
Leonardo Olmos: Crystal-clear. Thank you very much. And my follow-up question. Also on 5G, can you discuss what do you expect for 2022, '23. You don't need to be specific on numbers, but mostly what countries do you expect to deploy, what they were, what overall spectrum auctions that they are expecting for the DCF. Thank you.
Daniel Hajj: I think we mostly have a spectrum in all the countries in Latin America. We expect to launch, I can tell you, in 94% of the places where we operate in 2022. The CapEx that we're going to expand in 5G, as we told in previous calls, we have been investing in virtualization. We have been investing in a lot of in fiber to the node, virtualization. And we're not going to put any more CapEx of what we planned this year, $8 billion,  I needs 5G included, and we're going to launch 90% of the countries, all, all overall. I can tell you that that's more or less what we have and it's going to be all around this year. I don't have a specific date, but it fits all over the year where we're going to launch. We hope we can do it in the first semester of this year, mostly. Colombia is the only one that we don't have a spectrum, and we hope that the government would speed up that option.  And to -- I think it's important to have 5G all the countries where we operate. We are ready. We have been doing investments as in Colombia also, with the fiber to the node, fiber to the cell site, [Indiscernible] to analyze the network, the switches. We're ready. In 2022, we're going to have almost all the country. We have been modernized all our cell-sites through the last five years. In all the countries, we have 3, 4G, 4.5G and ready to have 5G also.
Leonardo Olmos: Very good, very good. [Indiscernible]
Daniel Hajj: No more CapEx that's what we have been saying. The $8 billion on CapEx this year, it's included on the budget launch.
Leonardo Olmos: Okay. Glad to see the plans are winning. Thank you very much, have a good day.
Daniel Hajj: Thank you. Very much.
Operator: Thank you. Our next question comes from Walter Piecyk from LightShed, please. Walter, your line is now open.
Walter Piecyk: Thanks. Can you just give us a sense on what your plans are for the Verizon shares that you received as a part of the closing of the transaction?
Daniel Hajj: Well, we don't have any plans today. We are receiving 4, I think they're 5% dividend yield in Verizon until right now we doesn't have any plan. We don't have any lockup on the shares. Anytime that we want to sell, we can sell. Right now we were going to maintain the shares and besides in the near future.
Walter Piecyk: Okay. And then just to go back to the CapEx question, I think if you -- if we just looked at the network equipment of CapEx, and I think in 2021, if you excluded spectrum, it was about a little over $7 billion and in 2020 it was about $6 billion. So you just -- Daniel talked about the $8 billion for this year, I assume that's all network CapEx. Is this just kind of a rising trend because your overall business is growing or is this kind of residual 5G so that when we look out to the years of 2023 or 2024, that we might return to the capital spending levels that you did in 2020 with $6 billion.
Daniel Hajj: No, I think with the numbers that you give me, what we have is that in 2020, because of the pandemic and COVID 19 as the CapEx reduced to $6 billion instead of being $8 billion. We have been having $8 billion for a long time. Maybe since '18 or '17 we have been having like $8 billion on CapEx, including a spectrum saw in some years, we have more spectrum than infrastructure in other years we have more infrastructure than spectrum. We we're doing also some fiber to the home, virtualization as we said, modernizing and digitalizing. We are digitalizing a lot of our equipment. So that's the CapEx that we have been saying that we're going to do and that's what we have also for this year.
Walter Piecyk: And then just one last one if you don't mind. If you looked at the equipment revenue base it appears that there's some supply constraint perhaps, and getting phones to sell to customers, is that the case is that the people or your customers are not upgrading their phones. And if it is supply constraints, what's the outlook for that over the course of 2022 to get more supply to sell more phones.
Daniel Hajj: In 2021, we have problems with the supply of the phones, shortages, and there's no doubt that there were shortages all around the world. We have that in Mexico and Latin America. And I still -- I think for the first and second quarter, I think things are getting better. I can tell you that things are getting better. We're having more supply. A little bit different because the supply is good in the high-end handsets, but the supply in the mid and low, it's a little bit more. We have more shortages over the -- in these segments. So about -- I think about what the people is saying and the brands that are making handsets, what they are saying is that in the second half of this year, they are going to be more normalize on the production of the handset. So that's what we're hearing.
Walter Piecyk: Okay. Thank you.
Daniel Hajj: Thank you.
Operator: Thank you. Our next question comes from Fred Mendes from Bank of America. Please, Fred, your line is now open.
Fred Mendes: Hello. Good morning, everyone and thanks for the call. I had two questions as well. The first one, I see the performance from Telmex was quite strong. Just trying to make sense of the numbers here. According to IFT, they said that around 40% of their connections they are already on fiber. Just want you to double-check this number to see if it makes sense. And if you have something like a target for number of connections in fiber [Indiscernible] question two. That would be my first question. And then my second question, as you expand your FTTH network, it makes sense that margins in Mac score, there is some significant room for improvement. Thank you.
Daniel Hajj: I think, as you said, Telmex do well and they are going to do better. We're putting more FTTH in Mexico that people is changing. We're increasing the speed, we're doing bundles, but Oscar can simply give a better explanation.
Oscar Von Hauske: Yes, as you mentioned terms have been improving fiber to the home. Last year, we did a lot of migration from copper to fiber. We already have 52% of customer base connected with fiber, and we will continue to do so in [Indiscernible]. And we want to speed up their migration from corporate to fiber. So we are doing new home passes with fiber this year. We believe that we will migrate copper to fiber this year more rapidly than the year before. And another thing is that the enterprise marketing intelligence has been developed quite well, so is not only based on connectivity, we are having a lot of value services, like cloud services, vertical services, security, and that sub-business is growing pretty good.
Fred Mendes: Big lots of thank you, Daniel. Very clear, if I just just double check 52% already of the connections are on fiber. And if I may have follow up, there's a difference in terms of margins between the clients you have on fiber. I'm assuming you charge a little bit more versus the decline that you have in copper. Thank you.
Oscar Von Hauske: Yeah. [Indiscernible] [Indiscernible] to [Indiscernible] the customer base. But the competitive blind stage is based upon the speed. So even we are increasing the speed, say with the same [Indiscernible] we have, in order to protect the customer base. But now we launched one-gigabit speed, that is a better price in the market, and let's see what is the reaction in the market for this kind of program.
Daniel Hajj: To -- to answer your question, I think it's to have the customers more on fiber, I think it's more efficient. It should increase a little bit [Indiscernible] depending on the ARPU [Indiscernible] [Indiscernible] said and operations, I think it's more efficient to have fiber than copper. So as we put more fiber then we're going to take out copper, and those are -- it's much more efficient, so --
Oscar Von Hauske: The Opex --
Daniel Hajj: The Opex in fiber is cheaper, it's less than the Opex in copper.
Carlos García Moreno: One more thing to -- just complement the answer. Oscar was saying about the revenue in the corporate segments is very important. What we call the corporate networks line item so far its best order in Mexico, also by the way [Indiscernible] in at least five quarters. You have to give you an idea. Mexico, revenues from corporate networks increased 5.5%, and in Brazil it's about 9.6% as well. So in both Mexico and Brazil, corporate networks are doing really, really, really well.
Oscar Von Hauske: Thank you.
Fred Mendes: Perfect. Thanks very much, Daniel, Carlos and Oscar. Very clear.
Daniel Hajj: Thank you. Thank you.
Operator: Thank you. Our next question comes from Marcelo Santos from JPMorgan, please. Marcelo, your line is now open.
Marcelo Santos: Hi. Good morning. Thanks for taking my questions. I have two. The first one is on Colombia. Could you please expand a little bit more on the positive performance with accelerating EBITDA despite the increased competitive pressure as the first question. And the second question is on Brazil and Broadband. We see at least from I'll tell data that America Mobile seems to continue to lose broadband subscribers. How do you see this trend going forward and do you think the new plans will lead was where reversion? What's could you talk about that? Thank you.
Daniel Hajj: I'm going to start on Brazil, and Oscar can compliment a little bit of what I'm going to say. I think still, we are the leaders in broadband and we're the leaders in ultra broadband. As everybody knows, the market in Brazil is very competitive, a lot of new entrants and a lot of new fiber. And we do fiber like 2 million fiber to the [Indiscernible], new ones. We're going to do 3 million this year. So we're going to have more coverage and we're going -- I think we're going to grow our broadband. And we're doing a lot of things. I think the market, the trends market, everything is changing in Brazil. And we're changing, so we're going to do more on distribution. We're going to do more packages. We're going to do -- we already launched one gig to any customer that they want. And more customers support. So we're doing a lot more things as the market is changing. So we are also moving and doing more thing. So including more fiber in places where we are not. So I don't know Oscar, if you have anything else.
Oscar Von Hauske: No. As you said, we already operate the corporate networks to deliver one-gigabit speed Nationwide. In all the new cities, we are deploying fiber. We end close to 4 million home passes with fiber. We will do 3 million more this year and prior to the [Indiscernible]. And secondly, that's in the market we see the [Indiscernible] as a bundle with the combos that we have, and as well, the fixed and mobile convergences on order and hoping that we have -- and we think that we add value to our customer base. Plus as Daniel says, the markets have been changing and have become very competitive, with a lot of fiber across the different regions.  So that's -- we see that with these changes on the commercial forces, tech in the market, we feel that we could start growing again. And we are deleveraging with track broadband as well. We've doing so many years. And as Carlos mentioned, in fixed enterprise, we're doing pretty well in Brazil. It is the first year that we grow in enterprise. It's many years by similar to Mexico, we are having different value to the connectivity, Cloud services, vertical services services and in the first time that we grew in the enterprise in Brazil in many years back in Brazil.
Daniel Hajj: And moving to Colombia. What I can say, we have extraordinary quarter, very good quarter in Colombia. We would have been doing every good on the corporate side. We have been doing excellent also in the broadband peaks and TV. We're growing very good and we are competing in with these new entrance in the market in prepaid and postpaid. We have the best quality I think the brand is excellent brand, people is preparing to stay and to go with Claro.  We have also very good customer care, customer care centers, distribution in all the streets. We do convergence, we have a lot of our base already in fourth play. So in Colombia we have been doing very good on all the operations. I don't think that people is happy only with price in these times. People want coverage, people want convergence, people want quality, customer care. A good network, good TV. So, and we have, and we're operating everything in Colombia. So I think we have been doing good and the results in Colombia. Our, our very good.
Marcelo Santos: Perfect. Thank you very much. Very clear.
Oscar Von Hauske: Thank you.
Operator: Thank you. Our next question comes from Gilberto Garcia from Barclays. Please, Gilberto, your line is now open
Gilberto Garcia: Hello, good morning, and thank you for the call. You had a relatively strong performance in prepaid in Mexico and postpaid in Brazil. Can you comment on what is driving the divergence in these two markets?
Daniel Hajj: Well, very to different markets and people thinks different so in Mexico, since pandemic, people preferred to go more to prepaid, were growing a lot on prepaid. Our prepaid platform in Mexico is excellent, and we're growing there, and we're, I think in the quarter, I think the service revenue in prepaid grow more than 10%, so it was very good. And in the other side in Brazil, postpaid has being growing good. Brazil has been having a little bit more. The economy has been a little bit more -- slowing down a little bit, so that's why people is not spending as much as they were spending in prepaid. In Mexico, is the other side, people is spending. Our [Indiscernible] are good in prepaid. And that's more or less what is happening now.
Gilberto Garcia: But then, are you being more aggressive in terms of promotions for contract subscribers in Brazil, to drive this very strong performance?
Daniel Hajj: I think in Brazil, the strong performance that we're having in postpaid is not in one [Indiscernible]. If you can see the last 2 years, we have been very strong in postpaid. Or more than 2 years we have been very strong and we have been the leaders gaining net tax in postpaid in Brazil. So that's not new. new. We have been doing very good investments in the networking coverage in 4G, in 4.5G, giving the best speeds, having good phones, and doing both in the plants that we have.  So that's not new in Brazil. We have been doing that for a long time and we're growing. And we have been the leaders growing in the postpaid segment in Brazil. And in Mexico, yes, it was a change, but we can see that the -- that's the market situation because nobody is growing too much in postpaid and the growth has been more in the prepaid segment. So that's really what is happening and we're okay with that. So we -- and if the market switch in the next month because people feel more secure to have like a contract in Mexico, we're ready to give them. So that's more or less what is happening in each market.
Gilberto Garcia: Understood. Thank you very much, very clear.
Operator: Thank you. Our next question comes from Diego Gargao from Goldman Sachs. Please, Diego, your line is now open.
Diego Gargao: Yes. Thanks. Hello everybody. [Indiscernible] looks the first question is, on Mexico. Can you just help us and explain our transaction? Who is the buyer? What will the price [Indiscernible] for each tower and the number of hours that would be helpful in still on Mexico. Any updates on the pay-tv license we've been seeing some articles out there, some rumors that. There might be a chance for you to get. Finally, you're taking the license in Mexico. So any of the update it will be great. Thank you.
Daniel Hajj: First, I'm going to give you an update on the new tower spin off that we're going to do. I think in our tower spin-off, we have all the local planning in [Indiscernible] steps in the different countries is completed. Local tower companies are now operating indefinitely from the [Indiscernible] operations. The spin-off at the America Mobile level is subject to the authorizations of the Mexican Tax Authorities, the SAP, and registration and distribution of the shares of the new entity is subject to the approval of the Mexican Security Commission, the CMBB.  And filing has been made before to the SAP and to the CMBB, and we expect to be in a position to finalize this spin off more or less on the second quarter of this year. So that's more or less one we are in the tower spin off that we have. On the towers that Telmex sell, they've sold around 900 towers. And I think that MXS steel has more towers to sell, but they sell 900 towers and that's more or less what we get, we separate. Carlos can tell you more or less the different and the profits that we get on that. And what was your other question?
Diego Gargao: The other question was on the pay-tv license, any of the data that you can share rather.
Daniel Hajj: Yes. Well, as you know, the application is still pending. The application compliance with all the current regulations. In addition to that, it has become [Indiscernible] that it helps an investment commitment and a network sharing commitment. As you know, pay-tv is a highly concentrated market. There are 2 dominant players that have already been determined by the IFD. One of those have approximately 65% of our market share. There is no asymmetric regulations that have been imposed to this date.  The 2 main competitors do not overlap in their cable network. So they have basically split the territory and there is no competition for the three play in those areas. Prices have consistently up so subscriptions are not growing. So it is clear that competition will several well to consumers and to the sector. And we believe that Claro and America Mobiliser is a clear alternative to that. So this would have to be determined by the IFT. And we expect, hopefully, some positive news on that front. There's no timing at this point in time for our new [Indiscernible] on the application.
Diego Gargao: Very clear. And just on the numbers for the Hour transactions.
Carlos García Moreno: The hour transaction, I think the revenues obtained by Telmex we're expecting $7 billion business can lead to $7 billion. They're booked on the other revenue? Service revenue. Totaled? [Indiscernible] Thank you.
Diego Gargao: Okay. Thank you.
Operator: Thank you. Our next question comes from Carlos Legarreta from GBM. Please, Carlos, your line is now open.
Carlos Legarreta: Hi. Good morning. Thank you for taking the questions. I have 2 very quick in this of share buybacks in the last 12 months, you can spend around $2 billion if I'm correct, I believe in your Investor Day, you mentioned figure up $3 billion. Is that still a number that we should think helped us a reference? And secondly, regarding the competitive environment in Mexico in wireless, you've obviously done very well overall. But do you see any space to start increasing prices? Perhaps thank you.
Carlos García Moreno: Hello, Carlos. Well, and just to be very clear. What we said on Investor Day was that we were expecting a time. Our shareholder distributions, not buybacks. Shareholders distribution to include the dividends to come to us as high as of $3 billion, since we were not having to deploy all our cash flow for the reduction of debt anymore. And if it happens, I think the aggregate distributions for last year were a little bit more than that. It was about $3.17 billion if I remember correctly. We share about $1.8 billion worth share buybacks and 1.3 billion worth dividend. Going forward, as we have gone in the past, we always take a look at what is our expected cash flow and then we deploy it in share buybacks throughout the year, very much in line with the seasonality of our cash flow. We would expect to continue to loosen [Indiscernible].
Daniel Hajj: And on wireless market in Mexico, we don't have any -- we're not thinking to increase prices at this time. So we don't think to increase prices, we are -- I think we're doing well because we get the preference of our customers. I think customers can do number portability immediately. So we really have the preference of the customers and we have the best coverage, the best network, the best speed. We used to cover like ocrolus. It's a Company that measures quality. We were the leaders. There is even that we have the more subscribers in our networks than the other ones. We have the best speed and quality of service so so I think that's really the reason why people and customers are preparing their self so they think that's why we are in the wireless market.
Carlos Legarreta: Thank you both for your comments.
Oscar Von Hauske: Thank you.
Operator: Thank you. Our next question comes from Cesar Davanco from Santander. Please Cesar, your line is now open.
﻿Q - Cesar Davanco﻿ ﻿: Hello, guys. Thanks for having my question. First of all, congratulation in your results. My question is regarding Colombia. I understand the -- it was very clear, your explanation regarding the competitive landscape, but I would like to have more color regarding ARPU because we saw declines this semester, so it's good to give a little bit more about this. It will be great.
Daniel Hajj: Well I think [Indiscernible] is going down a little bit because the big competition that we're having, so as you give more and more data to customers then some customers prefer to to reduce the rent, to reduce these plans. So that's more or less what what we have. But I think with the competition that we have, we're having good performance. We're growing in prepaid, we're growing in postpaid, it's very important. And something that is very important, number portability is come -- is positive this year. So with all the competition that we have, number portability was very good thing in Colombia. We're happy the way we're developing in Colombia.
﻿Q - Cesar Davanco﻿ ﻿: Any -- you have any expectations regarding the next quarters? Like a regarding the calls and [Indiscernible].
Daniel Hajj: We don't have expectations. It's very difficult to understand what your competitors are going to do, but I think we have very solid basis in Colombia, as we said, we have a good peaks Company, a good TV broadband. We are doing convergence. We have a good network and in the prepaid, in the postpaid quality. So we hope to maintain the way we are doing right now. I don't know if they are going to be more aggressive well the market will be more aggressive, and we're ready, we have capacity in our network. We have a very good network and we're doing fiber to the home. We are investing in Colombia.
﻿Q - Cesar Davanco﻿ ﻿: Thank you. Very clear. Thank you.
Operator: Thank you. As a reminder, if you would like to ask any question, [Operator Instructions] Now, the next question comes from Andres Queijo from Scotia bank, please Andres Your line is now open.
Andres Queijo: Thank you. Good morning, 2 questions, please. In 2021, there was an increase in the funding of pension obligations. Can you explain what's behind increase and if you're expecting a similar level for 2022. And a second question is it public who, are the buyer of the towers in Mexico. [Indiscernible]. Thank you.
Carlos García Moreno: We're on the [Indiscernible]? I think it has, mostly, to do with the fact that rates had [Indiscernible] from down Mexico, so they're a little bit more of a shortfall in funding, so we're excited to contribute a bit more. Overly this is now reversing, which is what is happening everywhere. The present value of future liabilities is -- had gone up because the rates have come down now rates are going back up again, and the liability -- the future be present value of future liability is coming down to we don't expect to continue to fund that these leverage. And the [Indiscernible].
Andres Queijo: I think it was [Indiscernible] the one who buyer the -- it was not [Indiscernible] It's [Indiscernible], the one who buy the tower. Thank you.
Oscar Von Hauske: Thank you.
Operator: The next question comes from Alejandro Tavela last from Credit Suisse. Please, Alejandro, your line is now open.
Alejandro Tavela: [Indiscernible], thanks for taking my question. Most of my questions have been answered. Just two questions from my side. The first one is, if the IFT noted that they expect to conduct that the new [Indiscernible] review of asymmetrical measures during this year. I know it's a difficult question, to answer, but do you have any ideas of lot could change or should we expect that similar type of adjustments in regulation that we have seen in the past, any anything that you can share, you should the useful. And the other one we see in Brazil, there was these means that a global maintained, if you recommended, they already acquisition is versus on the recommendation something from also, if you can share anything on that front, where efficiency that changes your expectations in any way that would be super useful. Thanks.
Oscar Von Hauske: In terms of the IFD revisions, it will start in December as it was published by the IFD. We don't have any particular expectation as you know, all areas of the Company are heavily regulated. So hopefully this would be a good time to start from the deregulation on the market.
Daniel Hajj: What's the other question? I think on Brazil [Indiscernible]? We have the approval Anatole I think last week. And whether Cathay is having a meeting right now. So I don't know what's going to be the decision. We need to wait until they finish and see what's going to be their decision on Cathay.
Alejandro Tavela: Thank you very much, very useful.
Oscar Von Hauske: Thank you.
Operator: Thank you. As a final reminder, [Operator instructions]. Our next question comes from Valentin Mendoza from Actinver. Please Valentin, your line is now open.
Valentin Mendoza: Hi. Good morning, ladies and gentlemen. Thank you very much for taking my questions, and congratulations on this strong set of results. I have a couple of questions on my side. The first one has to do with Chile. I was wondering if you could share with us about a sense on the competitive landscape over there. As we continue to see some ARPU pressures there. Are you sticking have some change on this side with the merger with VTR. And the second question is a follow-up on [Indiscernible] in Brazil. Just wanted to hear your thoughts because some media has been citing that a competitor has requested the [Indiscernible] of the regulator backing up the sale on the back of an illegal decision.
Daniel Hajj: Carlos, do you want to --
Carlos García Moreno: On this last point, yes we have read the news. So far, another interest solution is enforce on effect. And we understand that any problem with that is really just a process direct problem. And to the extent required, that solution would be ratified by [Indiscernible]. So hope to now nothing would affect the closing to the extent that [Indiscernible].
Daniel Hajj: And on Chile, well, I think the competitive landscape in Chile is high in the mobile. And in the peak, there is a lot of new fiber to the home companies that are putting fiber, and that are selling broadband. But I think we're doing well. We're not doing anything with VTR until the -- we have the approval on the transaction. So we are -- what we're doing is, we're still focusing in the networks, in the customers in the prepaid, postpaid and to grow our TV and Broadband segment. So it's been a very highly competitive market. We have been increasing our promotions and we're going to do that this year.
Valentin Mendoza: Alright. Thank you very much.
Oscar Von Hauske: Thank you.
Operator: Thank you. We currently have no further questions. I will hand over back to Mr. Daniel Hajj for any final remarks.
Daniel Hajj: Thank you. All of you for the call. Good afternoon, bye bye.
Carlos García Moreno: Thank you all.
Operator: This concludes today's call. Thank you so much for joining. You may now disconnect your lines.